Ann-Sofie Nordh: Greetings to you all, and welcome to this Presentation of ABB's Third Quarter Results. Next to me here is, for the first time, our new CEO, Morten Wierod; and our CFO, Timo Ihamuotila. I'm Ann-Sofie Nordh, Head of Investor Relations. This time, we're going to do things somewhat differently. We'll first do the usual results presentation, but with a slightly shorter Q&A. And after that, Morten here will talk through his initial perspectives following his first couple of months as CEO. After that, we open up for another round of Q&A. So you will get the chance to put your non-quarter related questions to both of them. We aim to be finished in about an hour and half from now. And with that said, let's get this started, and I hand over to you, Morten.
Morten Wierod: Thanks, Ann-Sofie, and a warm welcome to all also from my side. Let's start with a summary and the very short version of the quarter is that we improved on the most headlines in the income statement. Orders increased by 2%. Book-to-bill was positive, and we repeated the record level of margin with very strong cash flow. And I think these results show the benefits of having a broad industrial segment exposure. We had good developments in the three business areas with close links to the, what I call the electrification of everything, with the exception being the E-mobility business, where performance is still weak. On the automation side, we are challenged by low volumes in Robotics & Discrete Automation and especially in Machine Automation customers remain focused on reducing their inventories. In total, our revenues improved 2% in the quarter. But if you look at it without RA and E-mobility, it was actually up 7% and 6% year-to-date. I mentioned the operational EBITA margin, which again reached 19%, and it was great to see the strong contribution from electrification. Congratulations to the team for reaching the 24% margin level, another step in the right direction. There is also a reason to celebrate in Motion, reaching a new all-time high margin, and Process Automation delivered another solid plus 15% margin quarter. This is all good. But at the same time, profitability in Robotics &Discrete Automation is low. While Robotics remained in double-digit margin territory, it was a very tough quarter for the Machine Automation division. They are pushing to bring down the breakeven level and restore profitability. Timo will talk more about that on the RA slide later on. We also had a further losses in the E-mobility business, which continues to work on its turnaround. Look at it from group level, e-mobility diluted the margin by about 100 basis points in the quarter. So all in all, in my view, a quarter with the positives outweigh the negatives. Cash was good. And you know that we have an ambition of being at least on par with the free cash flow of $3.7 billion we delivered last year. At $2.6 billion year-to-date, I would say the target is clearly doable. I know that the M&A team in the Measurement & Analytics division in Process Automation has worked very hard this summer. So it was great to see that the acquisition of Födisch Group came through, adding about $55 million of revenues. The deal makes strategic sense, and it expands our position in advanced industrial emission measurement and analytics solutions, giving really good opportunities for revenue synergies. We also closed the SEAM deal in the Electrification Service division. SEAM is a U.S.-based company, which through its software platform, provide asset management and advisory services, mostly industrial building markets. It complements our already existing service offering and adds approximately $19 million of revenues. As a last point, I want to welcome Giampiero and Brandon as new business area Presidents of Electrification and Motion. Both have long careers with ABB. So I know them well and have seen their ability to bring a team together towards common goals. I also know that they are both strategic and result-driven. So I do look forward to see the impacts of their leadership. We had strong momentum in our short-cycle orders, which increased by the high single digits. Electrification was the main contributor with a double-digit growth, but we also had a slight positive in Motion. In the project and system businesses, there is still robust activity, although we were up against some challenging comparables, including the large order of $285 million booked in Process Automation last year. Excluding that booking, our total orders were up by 6% and in my view, reflecting a solid market environment. Looking at the different customer segments, the areas of data centers, utilities and infrastructure stood out as the strongest positive, while the most challenging area was the machine builders linked to Discrete Automation. Our revenue of $8.2 billion improved by 2%, driven equally by price and volumes. This was a bit lower than we anticipated going into the quarter. We find the main deviations in Discrete Automation, where the backlog is diminishing and customers push new orders further out in time. But also in Motion, where we had some deliveries being held as some customers changed their schedule. From a segment perspective, we again highlight the strong demand in data centers. So I thought we would spend some extra time on it. Looking at the data center market, the map changes fast. Some years ago, a co-location site of 5 to 10 megawatts would have been considered fairly sizable. 3 years ago, 20 to 50 was big. And now some co-location can almost be as big as hyperscalers, some 100 or even 1,000 megawatts. Traditionally, we have a strong position with the technically advanced hyperscalers, and we are the strongest in the mission-critical power access area, also known as the gray space, which is the infrastructure equipment is located. This includes medium and low-voltage switchgear, protection relays and critical power protection. But we also play in the white space with, for example, power distribution units. When it comes to transformers and cooling solutions, we work with partners. So what we talk about today is linked to our business area electrification, where the offering is broad and compromises both low and medium-voltage equipment. Even we are not the market leader in the low-voltage UPS, we see a very strong momentum from an already meaningful level. And momentum is even higher for our medium voltage UPS HiPerGuard, which is the first medium voltage UPS product on the market. Now that data center loads and power consumption are increasing, demands on electricity quality is rising. So our medium voltage UPS is well positioned as it covers the entire power system closer to the grid connection point. Overall, in data centers, we have seen a strong order CAGR of 24% during 2019 to '23 with an even stronger momentum so far this year. Our ability to meet customers' delivery expectations seems to have been above market average, and it appears as we have gained some ground. With a higher data processing requirements, we expect the data center market to grow in the double digits in the midterm, and we aim to outgrow the market where we decide to play. Now let's look at the regional developments. Orders in America declined by 6%, but the numbers is impacting by the timing of large booking. Looking through this, orders actually increased at a double-digit rate. So in general, the U.S. market remains the most robust market for us. EMEA was up by 8%, helped by a very strong quarter in Australia, but also good development in India. China declined year-on-year, but it's only about 2%. So sequentially, China remained broadly stable. Europe was up by 6%, with a very strong improvement in Germany, however, from a low level. In the charts, you see the strong improvement in both earnings and margin. The operational EBITA was up 12% and we improved the margin by 160 basis points to 19%. It is encouraging to see that this is driven by a strong gross margin, which reached 38.2%, and we had a positive development in three out of four business areas. But I hand over to you, Timo, to talk more about that.
Timo Ihamuotila: Thanks, Morten, and welcome to you all from my side as well. Before we move to the business areas, I quickly want to mention the corporate and other line, which netted out at minus $108 million, including corporate costs of $48 million. The corporate line was somewhat lower than we originally estimated, which had a positive impact of about 30 basis points to the operational EBITA margin. For Q4, we expect normal corporate costs of about $75 million. Our E-mobility business had losses of $60 million for the quarter. We expect the losses to be even a bit higher for Q4 as we look to finalize the restructurings related to the product portfolio transition. For 2025, E-mobility will still be a bit of a drag to overall ABB profitability, but is estimated to be clearly a smaller drag than during 2024. I also want to mention income from operations, which improved by 4% from last year. The improvement rate was held back by a onetime adverse impact of about $90 million related to a charge linked to E-mobility moving to reduce to a minority ownership in a U.S. subsidiary. The accounting charge had no impact on cash. At this point in time, we could not realize the tax benefit from this charge, which also meant a higher-than-expected tax rate in the quarter. So this combined weighted on earnings per share, which still reached $0.51, up $0.03 from last year. So now let's flip to Slide 8 and Electrification, which had a very strong quarter, including 10% order growth with improvements across the three regions. We have a leading position in the medium voltage space. And here, we continue to see high activity in the areas of data centers and utilities. These strong project and systems markets also had somewhat of a positive impact on parts of the low-voltage product business. In addition to data centers and utilities, infrastructure was strong, and it was encouraging to see the overall Building segment improve. On the commercial side, we saw good momentum in both U.S. and Europe, but China remains muted. The residential side was overall stable at a low level with our colleagues in the U.S. sounding a bit more optimistic. Europe was broadly stable and China remains tough. Adding it all up, we had a double-digit growth in our short-cycle business, which more than offset the impact from the project business declining from last year's high comparable. In total, orders once again staying above the $4 billion mark. Switching now to the chart in the middle and with revenues of $3.9 billion, it was a record quarter, up 10%. All divisions contributed to growth, which was primarily driven by higher volumes, but also by positive pricing. I think it's worth mentioning that on record high revenues, Electrification delivered a positive book-to-bill of 1.03. Earnings and margin also reached new all-time highs. Operational EBITA was up by 26% with a margin of 24.1%, with volume impacts as the key driver, but also supported by continuous improvement measures, really well done by the EL [ph] team. Looking ahead in the fourth quarter, we currently expect a mid- to high single-digit growth rate in comparable revenues and the operational EBITA margin to decline sequentially. Let's move to the Motion business area, where orders came down slightly to $1.8 billion, decreasing 4% on a comparable basis. This was mainly due to timing impacts of project orders, particularly in the rail business. Despite pressure in the China market, Motion's total short-cycle orders remained broadly stable. Looking at the different customer segments, we saw strength in areas of power generation, such as hydro and waste to energy. HVAC was also positive, driven by commercial buildings. And on the downside, we saw slower activity in oil and gas, chemicals and pulp and paper. Shifting now to revenues, which were up by 1% and came in just under $2 billion, i.e., similar to recent quarterly levels. Pricing had a positive impact, but the pace of converting the backlog to revenues was a bit slower than expected as some customers slightly changed delivery schedules. On broadly stable revenues, the team increased earnings by 4% with a record margin of 20.7%, supported by pricing and stringent cost control. For the fourth quarter, we anticipate a low to mid-single-digit comparable revenue growth year-on-year and the operational EBITA margin to soften sequentially. Then turning to Slide 10 and Process Automation, which has now had a positive book-to-bill ratio for 16 consecutive quarters. This clearly shows the strength of their offering in electrification, automation and digitalization for heavy industries, as well as robust market development. Orders remained on par with recent quarters at $1.8 billion, but declined by 5% from last year with a large order of $285 million when that was booked. Actually, if we exclude this multiyear contract, orders would have grown by double digits. We see strong momentum in both the traditional and low carbon power generation segments, as well as marine and ports. Metals and mining improved, while chemicals decreased versus last year. Now turning to revenues. Process Automation delivered as planned with revenues growing 6% on a comparable basis. The growth was supported by three out of four divisions and was driven by both volume and slight positive price impact coming from the product business. Strong development in the service business was also helpful. Process Automation executed on its order backlog with higher gross margin and delivered yet another strong margin of 15.2% with operational EBITA improving 11%. Looking at our expectations for the fourth quarter, we foresee a flattish growth rate for comparable revenues and the operational EBITA margin to be sequentially down. On Slide 11, we turn to Robotics & Discrete Automation, where the two divisions currently face a very different market environment. In total, the business area orders dropped by 4% from last year's already low level. And starting with Robotics, where it was encouraging to see a slight growth in orders, although from a low base. This was mainly driven by larger wins in the U.S. logistics sector. Electronics remained challenging, and we saw a drop in EV-related CapEx, partially offset by increased activity related to hybrid vehicles from traditional automotive players. Orders rose strongly in both the Americas and Europe, but declined at double-digit rate in Asia and Middle East and Africa. Now looking at Machine Automation. Orders were down sharply due to continued slowdown in Discrete Automation demand. We saw machine building customers extend the ongoing inventory adjustments. And from what we see now, this is expected to continue into next year before easing off during the second quarter of the 2025 at the latest. Our Machine Automation division is primarily a European business and makes up about one third of the business area's revenues. In this tough environment, the business area revenues dropped by 20% with the steepest decline in the Machine Automation division, as the decrease in orders directly impacted revenues. In Robotics, the decline was limited to a single digit rate as the growth in book and bill business only partially offset the lower backlog deliveries. The operational EBITA margin in the Robotics division softened compared to last year, but stayed in double-digit territory, supported by earlier implemented cost savings efforts. Lower production volumes in Machine Automation led to significant under absorption of fixed costs. In response, extensive cost-saving measures are being activated, including some 25% reduction in headcount with savings expected to start showing towards the end of the year. For the fourth quarter, for the business area, we expect mid- to high single-digit negative growth in comparable revenues and a slight sequential improvement in the operational EBITA margin. Then moving on to Slide 12, showing the group operational EBITA bridge. The impact from our positive price execution was similar to prior quarters at about 1% and operational leverage on higher volumes more than offset the adverse effects from a slight increase in spend for R&D and SG&A. All in all, a 12% improvement in operational EBITA with a 160 basis points margin increase. And finally from me, let's move on to cash now on Slide 13. We had another good quarter for cash, delivering a free cash flow of $1.2 billion, which was broadly in line with last year's level. From a cash perspective, the impact from our improved operational performance was offset by a smaller reduction in net working capital as last year, we significantly reduced the buildup caused by supply chain constraints. This quarter's performance, along with the strong first half of the year, puts us in a good position to at least match last year's result. And with that, I would hand back to Morten.
Morten Wierod: Thanks, Timo. So let's finish off with the outlook, where we softened the commentary on full year revenue a bit and nudge up expectation for the margins. We now foresee comparable revenue growth of below 5%, and this is mainly due to the lower-than-expected revenues in the third quarter and the weaker for longer market situation in Discrete Automation. For the operational EBITA margin, we now foresee it to be slightly above 18%, reflecting the strong performance year-to-date and including the pattern of the fourth quarter margin. This year, we expect the sequential margin drop into Q4 to be somewhat steeper than usual, mainly due to corporate costs normalizing and slightly higher losses in E-mobility. This would leave the fourth quarter growth in comparable revenues in the low to mid-single-digit range, and we expect the pattern of a negative book-to-bill to repeat. All in all, this would make 2024 a record year for ABB. With a positive book-to-bill, supporting future revenue generation. So Ann-Sofie, let's open it up for questions.
A - Ann-Sofie Nordh: Yes. Let's do so. [Operator Instructions] And with that, we open up for the first question. And this time, we start with the telephone lines, and we should have Martin Wilkie lined up here, I hope. Martin, can you hear us?
Martin Wilkie: Hey, good morning. Thank you. It's Martin from Citi. And my first question or perhaps only question, if I'm allowed one is about electrification margins. Obviously, a new record level. You do point out cost absorption and higher volumes. Are you adding capacity in electrification? Obviously, we hear about supply constraints and long lead times and so forth, especially in areas like medium voltage. And if you are adding that capacity with margins now above 24%, are we effective at the peak of the benefits in terms of that volume driver within electrification? Thank you.
Morten Wierod: Thanks, Martin. To the first question, we are - we have added capacity in the electrification business, especially in North America. And this happened really a few years ago when we did the GEIS acquisition. And we added more capacity both in U.S. but also in Mexico. And this gives us a good benefit now when we have some - that spare or extra capacity that we can serve the market with shorter lead times. And I think also there, what we see from statistics gaining share. So that is how this comes through. And with - but you asked kind of are we at the end of the journey of electrification. And I would be a bit worried handing that over to Giampiero now if we were peaking. So I don't - definitely don't see that because every division in ABB have pockets or opportunities where they can improve. And that's what we have identified also in electrification. So even though the main focus for the electrification business is profitable growth, there is still opportunities to do better in all of their operating divisions.
Ann-Sofie Nordh: Very good.
Martin Wilkie: Thank you very much.
Ann-Sofie Nordh: Thanks, Martin. And Andy, we have you next here in line, you with us. Andy Wilson?
Alex Virgo: It's Alex, with BofA. It's Alex at BofA, Ann-Sofie.
Ann-Sofie Nordh: Alex.
Alex Virgo: I got unmated. I don't know if you were.
Ann-Sofie Nordh: We'll try Alex then. Go ahead.
Alex Virgo: I'll take it. Apologies. Apologies, Ann-Sofie. I'm sure you're participating...
Ann-Sofie Nordh: We'll let you deal with that later.
Alex Virgo: Thanks very much for taking the question. And good morning to both of you and to all of you. I'm sorry. I wondered if you could talk just a little bit about the situation in MA. I think the development and point of normalization keeps getting pushed to the right. It's quite interesting to see the order intake in Germany up as strongly as it is, and your comments on the order intake there given how dominant Europe is in that business. So I just wondered if you could help us a little bit with describing the trends on that, how you're seeing really as the exit rates into 2025 would be super, super helpful. Thank you.
Morten Wierod: Thanks, Alex, for the question. I mean the whole situation in machine automation, very much driving kind of the post-COVID effect where they added a lot of - first get a lot of orders, but then you got a lot of inventory at the machine builders in Germany, but also really across the world. So this is - and then the whole industry sector of machine builder facing a similar challenge as we also do at ABB these days. So you're also right, saying that is lasting longer than what we expected one or two quarters ago. And so therefore, we also say now that - we think that in - during Q2 next year, we'll see a normalization of the situation. So of course, what we need to do here at ABB, is to adapt our breakeven level at the machine automation business so that it becomes coming out of this situation, it's a stronger team, still very innovative and coming up with great technology for machine builders because this is high-precision, high-speed machinery where we play. So that the technology and R&D investments happening, that is still is key to keep that well balanced and keep that well in place. But we need to take down the overall cost of operations in those units. And that is - already is ongoing, and we will have to continue that for also now in the fourth quarter.
Timo Ihamuotila: But maybe I'll have a comment - comment quickly on the Germany topic. So we - yes, we had a 33% growth in Germany now this quarter, but last year, Q3, we went down also 33%. So this is actually sort of stabilizing now at a bit lower level. What was really nice to see in Germany outside Machine Automation was that, for example, in EL Smart buildings, we started to see a bit of a pickup, which was really, really good. But I would say Germany is stabilizing at a sort of a bit lower level is the right way to look at it.
Ann-Sofie Nordh: Okay.
Alex Virgo: That's very helpful. Thank you.
Ann-Sofie Nordh: Thanks, Alex. And now to keep things on a good tone here, we better try and see if Andy is here now.
Andy Wilson: Hi. Good morning, everyone. And I appreciate it. Thanks. Thanks for the big lead in. I wanted to ask around pricing trends. And I guess we sort of talked, I think, about the revenue growth being a function of kind of, I guess, split evenly between price and volume. And clearly, that's coming through from kind of previously - previously priced orders. I wonder if you could help us a little bit in terms of what you're seeing and what you're thinking in terms of 2025 with regards to pricing and kind of how confident you are on retaining still positive pricing going into '25. And I guess linked to that, any sort of comments you could make across the businesses with regards to particular areas of strength or weakness just to try and help us fill in some of those gaps.
Morten Wierod: Yes. Maybe you start, Timo.
Timo Ihamuotila: Yes, I can start. So first of all, when you look at the pricing, we said that we had approximately 1% improvement in profitability coming from pricing. That's in our bridge. We have this sort of pricing and volume, $90 million, if I remember correctly, about $60 million of that is price and rest is volume. But then if you look at the whole operations bucket, which if I remember correctly, is about $80 million. Out of that, we also have a bit in, let's call it, better quality project execution kind of like read pricing in the longer cycle business. So I think we are in a pretty good place moving on from here. I mean I don't think we can give any pricing guidance going into 2025, but sort of we would expect pricing also to be a bit of a positive driver. Why don't I just sort of leave it there.
Ann-Sofie Nordh: Okay.
Andy Wilson: Very helpful. Thank you.
Ann-Sofie Nordh: Thanks. And then we open up the line for Max at Morgan Stanley.
Max Yates: Ann, thank you. And good morning, everyone. I guess just my question would be asking around the order backlog. And I guess what we can learn from the order backlog about the outlook for '25. And I guess I don't expect you to sort of guide on 2025. But if we look at the order backlog for delivery in 2025 and we compare it to where we were, say, 12 months ago, what does that look like? And I guess, does that point to 2025 being a year where we can be within the sort of 5% to 7% growth range? I guess just - yeah, what can we learn from the order backlog and timing of that backlog for delivery in '25? Any color on that would be helpful.
Morten Wierod: I can start. I mean I think you already said it in your question that you don't expect any 2025 guidance, and we will not give that. So - but Timo, maybe you can also comment a bit on general in the backlog.
Timo Ihamuotila: Yeah. Let's first talk a little bit how the backlog has moved because I think it is quite important. So when you look at the backlog growth, we had 4% growth in backlog now Q3, but we had 12% growth in EL. I think we had 8% growth in Motion. We had 6% growth in PA and 29% negative in RA. So it really just shows those dynamics what we have been talking earlier about as well. We don't see now at this point in time, a big sort of delta in the backlog conversion going into '25. I also want to say that this backlog data is not exact science. So I don't think there is anything there which we could sort of rely on nor is there anything which would be sort of alarming.
Ann-Sofie Nordh: Okay.
Max Yates: Okay. Thank you.
Ann-Sofie Nordh: Thanks, Max. And then we open up the line for Will Mackie at Kepler Cheuvreux.
Will Mackie: Yeah. Very good morning to everybody. Thank you. My question relates to your plans to structurally adjust costs. At E-mobility and across Robotics and Automation. Can you frame for us perhaps what the sort of annualized benefit will be from the measures you're taking as we run into 2025 in terms of absolute cost out base may change and then we can speculate on demand. Thank you.
Morten Wierod: Thanks, Will. We are, as you say, in all businesses, part of the ABB operating model, all businesses that are facing some headwind in the market or weaker demand will have to address their cost base. That is how we drive and that's also why we use our productivity measure as one of the mandatory measure for all business leaders that you need to always take care of productivity. So that is what Machine Automation, Robotics and also our E-mobility business are in the midst of doing now because this has been ongoing for some time. So - but of course, there are different type of measures that we have to do here based on the challenge they face. Taking our E-mobility business as one example, there we have invested even more in the technology and upgrading the product portfolio so that it's really fit for the future market of high-power charging, the higher ranges when - so you can do the quick charge. So that is kind of where we are doing really the resetting of that business with a very upgraded and now we're doing pilot installations at customer sites. And then, of course, they also need to make that with the new design that it also fit for the future price and cost levels, what customers expect. And then on the Machine Automation, it is the same challenge or a challenge to stay innovative and competitive, but at the same time, you need to reduce the breakeven level. So we are able to show the performance what we expect from that business and show - and getting back to where I can say that they are in line with expectation and they are creating the value we expect them to do. But Timo, maybe you want to give a couple of examples as well.
Timo Ihamuotila: Yeah. Maybe on this overall cost equation. So we would expect both of these businesses to turn to growth. And that's why the cost takeout has to be such that you can also ramp it up later. So one should not expect here something where we kind of like can just take tens and tens and tens of millions of cost out and keep the fixed cost in that new level. But what we are looking at is really to get, first, the variable cost down as much as possible, and then we are streamlining the fixed cost as well where it makes sense. But as Morten said, in both of these businesses, we need to continue to invest in R&D so that we come even better when the market - we come out even better when the market comes back.
Will Mackie: Thank you.
Ann-Sofie Nordh: Thanks, Will. And then Daniela Costa at Goldman. Should be - your line should be open, please.
Daniela Costa: Hi. Good morning. Just one question. In terms of your seasonality comment regarding the margin in Q4 being sort of like a worse than normal seasonality, I understand definitely corporate is one part that contributes to that. But can you elaborate if that applies to any of the divisions? And if so, why?
Morten Wierod: We gave some comments there on the sequential margin being a bit lower than what you normally would see over the quarters. One being the corporate cost that was favorable in Q3 that will not have the same favorability in the fourth quarter. And then it's also the final step of the, I would call the reset of our E-mobility business. So those are two aspects that we need to kind of take into consideration when we look at the fourth quarter.
Timo Ihamuotila: Yeah, yeah.
Daniela Costa: Not at the divisional level?
Morten Wierod: Yeah, not really in the business area level, yeah.
Daniela Costa: Understood. Thank you.
Ann-Sofie Nordh: Okay. Thanks, Daniela. And then we go to Joe at Cowen.
Joe Giordano: Hi, guys. Can you hear me?
Ann-Sofie Nordh: Yes, we can. Thanks.
Joe Giordano: Great. Can you just - can you talk about the competition landscape in RA in China now? We've been hearing about like local competitors taking some share with cheaper products. And just I know how well you're established in that region. Just curious if there's been any changes at the margin to the landscape there from local competitors? Thanks.
Morten Wierod: Yes. It is true. We are, of course, facing in China also a tough competition when we're looking at also some of the local players. And a few of them has come up. And so therefore, we have to make also this - our China for China strategy even kind of becomes even more important to remain competitive in the Chinese market, but also to come up with designs that is kind of fit for purpose for many of the special applications that we face in China. China is used more even on the service robotics side. We see examples - see some cool examples from the noodle shop where you come in and you can buy your lunch with your special recipe and your whole noodle soup is prepared by robots. So this is one example, which we don't find in Europe. So kind of the design in - design in China and then based on the need, but also based, of course, on the price and cost level that customers expect there. So that is what the robotics team and what we have to do here to remain a market leader in China. That's kind of our China for China strategy as its best when those are happening. We have started those program already more - almost 2 years ago, and we start to see impact, but of course, developing a fit for market and a very local portfolio when you go into new applications takes some time, but that is what we need to and we'll see the benefits of in the quarters and time to come.
Ann-Sofie Nordh: Okay. Thank you. And then we take a question from James Moore at Redburn. Your line should be open.
James Moore: Yes. Hi everyone. Thanks for the time. And Morten, as the new CEO of ABB, can I ask whether you think anything needs to change in the company? What does success look like to you when you retire in 5, 10 years' time? And on the portfolio, do you have any thoughts on areas you'd like to move into or areas you'd like to get out of? And would you consider selling a large unit, for example, robotics?
Morten Wierod: Well, we'll come back to many of those questions. We have a session after now when we close with the Q3. I will give some of my thoughts about which I think can answer many of those questions, and then we'll have another Q&A after that. So James, if you could come back with those questions after I've done my - a bit of my CEO introduction, I think that would be helpful, and then we can just focus on the Q3 first, if that's okay.
James Moore: Apologies, I didn't realize it was a double session. Maybe I could ask about data center then. Could you give us a rough split of the revenues across UPS, relays, power protection, switchgear, PDUs, anything else? Just trying to give a flavor of what your mix of revenue is these days.
Morten Wierod: Yes, you see the data center business, first of all, as you saw, it's growing very fast. We're up this year even more than what we showed last year when we had our Capital Market Day when we referred to the plus 20%. And so that's important, especially in the electrification business, we're moving from the 12% and up to the - close to the 15% of the order intake of electrification. So it's - it gain more and more momentum. So the offering we're having there and where we have the biggest success is on the gray space, which is the medium voltage switchgear, the low-voltage switchgear that provides all the power into the data center. That is the sweet spot for what we do. But it's not the only place. We're also on the white side on the UPS inside supplying power to the power distribution units, the PDUs and that, again, supplies to the rack. So that's another part. And I have to say I'm very, very pleased to see the performance of also that low voltage side of UPS. It's a business of a few hundred million dollars that has doubled now in the last 3 years. And now we have a plan for the next 3 years, we are expecting it to double again, and then it becomes a significant part and real relevant for that data center business. So this is important for both the hyperscalers, but also more the co-locations that they have this really strong shop and support from us, giving critical infrastructure equipment. So good growth, both in, of course, in the United States leading, but not limiting. Some of the biggest order we booked this quarter was in India with some of the hyperscalers, and we have a big investment in data centers, both in India, but also in China. So even though it got a lot of U.S. focused, is absolutely both a European but also an Asian element to it. So it goes across the board.
Timo Ihamuotila: Maybe you want to mention the HiPerGuard thing as well, the whole medium voltage UPS piece.
Morten Wierod: Thanks, Timo. It's a good point. We see now a shift where some of the hyperscaler looking at to take the low-voltage UPS, which is kind of close to the rack. And there, you need a lot of space inside on the white space. You can also do this with our - what we call our HiPerGuard, which is a medium voltage UPS and you place that close to the transformer, the substation side, which gives you then secure power into the data center. It frees up a lot of space on the white space, which is a more expensive area to build. And it is easier to give a critical - this critical power equipment when you keep it outside close to the transformer, it is also a cheaper way or a better way to do it. So that is where we see a lot of interest. We are in the hyperscaler space a lot of our customers and partners there looking at this is a different design we can do it, and we have now a great interest to see how can we do this. And I will come back with - I think I hope seeing some nice success stories pretty soon.
James Moore: Thank you very much.
Ann-Sofie Nordh: Thank you. And since you mentioned it, Morten, the CEO sort of commentary about your first perspectives, I think we'll move straight into that now. We'll have Morten talk about his first impressions, and we will open up for another round of Q&A, as mentioned. So James and others, the rest of you will have the chance to put your questions through again. [Operator Instructions] And with that said, we'll switch focus, and we'll do that by just having a short little video clip, and then we'll let Morten do his piece. [Video Commercial] So now we shift focus away from the Q3. And I know Anssi and the team get a lot of questions on what will change with me as CEO as I clearly didn't become a farmer. So let's talk about the way forward. If you have followed ABB over the last 4 to 5 years, you know that there have been significant changes in our ways of working. Our people have done a great job to take the ABB Way operating model, and we have become a better performing company on the back of it. But I wouldn't take on this role if I didn't believe that I can drive change to further improve and with the team, make ABB an even better company. That said, after the transformation period, it is equally important to point out what will not change as we already are on a very good path. First of all, the big picture is really strong. We are at the center of secular trends of electricity becoming the key source of energy. For one, we serve our customers with high-quality offerings of low-carbon solutions and energy efficiency. And we also help manufacturing companies automate towards resource efficiency. The businesses we have are all a good fit with our purpose, and I want to make it clear that the ABB way is here to stay. But I also strongly believe we can fine-tune it further, and I will come back to that. Internally, I will keep emphasizing the importance of us having a high-performance, high-integrity culture. Customers should be able to trust us to deliver high quality in all aspects of our offering. The same goes for other stakeholders, like ourselves as shareholders or our employees. We will not waver in this. It builds trust and continuity with customers, but it also supports stability in our earnings profile. So what do I bring to the table as a new CEO to help us be even better? My mandate is obviously somewhat different compared with Bjorn's, who since 2020 did a brilliant job in decentralizing ABB, and we have clearly improved profitability. For me and from my starting point as CEO, it's the only natural that I will have a higher emphasis on generating profitable growth rather than large internal operational changes. But I'm sure that we can build further on the ABB Way to support both growth and margin. I believe we can do more in this area. I have more than 25 years in this company. So I have a pretty good feel for our customers' need and how our technology creates value. I know the ins and outs of the internal ABB and how we do business. I can use this background to set a good playing field for our people to collaborate. And those who know me know that I'm passionate about customer first. You also know that I'm a big football fan, and I strongly believe that the best results come from utilizing all parts of the team, both on and off the field. And I have this saying that none of us is as smart as all of us. I think we can make even more out of this going forward. I also strongly believe that we at ABB can do more when it comes to being a force in driving the energy transition. What I mean is that we can use our know-how to influence and collaborate with thought leaders and policymakers so that the outcome of our combined effort is as powerful as it can be. We can take a stronger role in showing the power of technologies that exist now with the aim to drive investments into low-carbon solutions. So far, I think the U.S. has done better than the EU when it comes to facilitating the move of real cash to support these investments. And as a leading player in electrification and automation, we continue to drive the industry to operate leaner and cleaner. I met some of you before, and Anssi has lined me up with an intense list of meetings in the coming week. So I will, for sure, meet more of you soon. What you will learn is that I like to keep things simple and the essence of business to be put to the customer-first approach. We are nothing without the support from our customers and partners, and we need to work closely with them to always improve. To improve, we need to take actions. I know I'm impatient with actions, but also I full respect that one has to be somewhat more patient when it comes to results. And one important thing that I have learned through my career is that the quickest way to target is to start with why is this good and keep things simple. High performance should go hand in with high integrity. And to get the machine working at full throttle, we need to utilize all the strengths we have in ABB. So it's my job to set a playing field where it's easy for our leaders to collaborate when it makes sense for them. Each part of the team needs to carry its weight and contribute to our common success. Sometimes we need to make adjustments to the team and how we play in order to bring home the trophies. I mentioned fine-tuning the ABB way and using learnings from my time in electrification. I want to challenge some of our divisions to cut the pie in even smaller pieces and thereby taking another step towards increased accountability, transparency and speed, but still keep our eye on the ball when it comes to collaboration towards our customers. This is not a one size fits all. Each business is different, and we only change when it makes sense from a business perspective. Most of you are familiar with our strategic mandates in order of stability, profitability before growth. We are already taking actions to fully apply this model also on business line level, meaning that while a division may have a growth mandate, the subordinate business line manager can have different mandates. We started this under my time in electrification, and it was really great to see the commitment and the drive that is created further down in the organization as they got the full responsibility and mandate. But even so, all is not done in electrification. Giampiero has a busy agenda to deliver on, and there is upside in electrification even from the current very high levels. One tool in building the ABB Way culture is the ABB Way booklet that we recently launched internally. This is a simple read of our decentralized ways of working, and it's available to all our employees online. Everyone in our organization has access. And as I said, we are taking it deeper to reach higher. Coming in as the CEO, it's my job to create value from this starting point. And as I mentioned, I think we can get more out of the ABB Way model. As a group, we have significantly improved our performance, meaning the bar for all businesses is higher. But now we have bigger deltas in performance in our different divisions, which trigger some further fine-tuning to the governance model so that we get clearer links between the strategic mandates, performance and rewards. We currently have about 60% of our revenues on a growth mandate. This has come down recently due to the change to profitability mandate in both of the divisions in Robotics and Discrete Automation. We will review this again in early 2025, and then I expect some upgrades to growth. Applying the ABB Way on all levels goes also for how we will run an active portfolio management. On the back of higher growth and higher margin, we raised our financial targets in November last year. This means that thresholds to be part of the ABB team are higher now, and this will influence our decision-making for both incoming and outgoing businesses. And it's my job to challenge our business areas on our current portfolio, push our leaders to really think about the long-term view of where we want to participate. My job is also to evaluate our playing fields. Are there adjacent areas which are close to our core offering and to fit well with the ABB purpose that we can add on. I want us to become slightly more systematic in our approach in this area and make sure we always consider the aspect of long-term risk reward when we use M&A to drive profitable growth for ABB. To generate growth, it is key that we remain relevant for customers. We want to be the preferred partner for solving a problem, first in mind of our customers. We have actually increased our R&D spend by about 40% since 2020 to $1.4 billion in the last 12 months. And the ratio for R&D to sales turned in 2022 and actually increased sequentially into '23 and year-to-date in '24. We are about 4.4%, which means we are back at the run rates from 2019 and '20. And I think the 4.5% to 5% level is a good place for us to be. This does not include our venture capital investments, which, in my view, is an extension of our R&D efforts. Our CapEx spend has been stable at the $700 million to $800 million level since 2018. And for this year, we expect a slight step up towards the $850 million. I don't foresee it to change significantly from here. When you think about it, it's not that many companies that can spend more than $2 billion on R&D and CapEx. And I would argue this sets barriers to entry. We are well invested and to make sure we get full bang for the buck, it's important that these investment decisions sits in the divisions. They are the ones who best known the customer and what we need to remain a leading player in our chosen segments. This is how we already run it through the ABB Way. And about 55% of R&D employees, they focus on software and digital solutions. We create customer value through embedded software. This is a lever for our market-leading position and a building block for strong gross margin. Another area where we have initiated activities is on the ABB brand positioning. I'm very proud about working at ABB, and we help industries become leaner and cleaner. I've seen our technology come to life and make a real difference for customers. We know that our onboarded customers are loyal. But having looked into this, we believe we have a commercial upside from a more focused industrial positioning of our brand. Rest assured that this does not mean our corporate branding spend will increase. We will simply apply a more focused use of the cash, spend better, not bigger. This is clearly a long-term project, but in the coming months, we will start working towards a better positioning of the ABB brand. The brand is closely linked to the ABB purpose and all our businesses fit with our purpose. Any portfolio changes from here will be triggered by our intent to further optimize performance and create long-term value. I think that our purpose statement describes really well how we create value and what drives our business. It shows that our offering is closely aligned with strong secular trends. Electricity demand is expected to grow 10 times faster than any other energy sources. So on a high level, I would say that at least 80% of ABB is in one way or another linked to the world going electric. So we are really at the core of the energy transition. Another global topic is that working age population is expected to fall by close to 25% by 2035. It is, of course, up to us to make sure we capture these business opportunities as we really have a strong exposure to secular growth markets. The next couple of slides are busy, but don't worry. We'll not go through it in detail. But I wanted to include some stats from outside ABB, and there is a lot of pointing to real long-term fundamental drivers to our top line. These estimates you see in these charts can, of course, prove to be off to some extent. But the idea of electricity as a growing source of energy, that will happen in my book. The time line may vary to some degree, but the end game will be an increased use of electricity. That train has already left the station. Looking some years out, there will be more of us living on this planet, more of us living in urban areas with rising expectation when it comes to standard of living. And at the same time, we all on Team Earth have jointly agreed to make this planet greener and cleaner. The global agenda is to reduce carbon footprint by moving away from fossil fuels in favor of low-carbon energy sources and electricity is a key tool to achieve these ambitions. Getting to the low-carbon finishing line will require significant investments by utilities, manufacturing industries, building, et cetera. And at the same time, there are new fast-growing applications like data centers. ABB top line will benefit from all these investments. And just to make it more real, there are four market segments that represent 95% of the global greenhouse gas emissions. Those four segments represent 97% of ABB's orders. Our technologies really are at the core of accelerating the energy transition. A shrinking labor force is old news, but it's still a fact. As from 2030, the curve for working age population is expected to decline in major regions and markets, even in India. And in China, the rate of decline is getting sharper. The only way for producing companies to remain efficient and even able to produce is to invest in automation. So you may think, okay, ABB has offered energy efficiency, electrification and automation earlier. So why would they be able to deliver higher growth through the cycle now compared with our history. That's a fair question. But I would say there are two important factors to remember. Our new ways of working, the ABB Way operating model, often when we talk about the ABB Way, it leads directly to a margin discussion, but I believe it has a positive impact also on our top line. Business decisions are made closer to customers and decisions are made faster as we have reduced the number of approval levels. With a clear accountability for each division and now increasing accountability by business lines, there is nowhere to hide for our managers. Secondly, the underlying market has changed. The energy transition is real, and there are multiple drivers. There are legislations coming through, making the increased investments in low-carbon solution, a must is happening. It's not a choice. We also see increased requirements for ESG reporting and puts the spotlight on corporates not to fall behind on green investments. We see focus from stakeholders like yourselves, shareholders who may influence corporate towards low-carbon investments. And I would also like to mention it's an attraction point for new talents. As corporates need to show that we are good citizens, contribute to a sustainable future with high integrity so that young talents want to come on board. All in all, I feel we are in a good position to deliver on our through-the-cycle target of 5% to 7% for comparable revenue growth. We have delivered 6% since 2019, and we are in a good position to continue to deliver growth at a higher pace compared with the low single-digit rate this company achieved further back in time. I'm really proud of the margin improvement we have achieved. We still have some way to go before we are at the very high end of the target range, but I see a path of us getting there. And after that, we will see what our next step is. I don't see the 19% as the end station to the margin journey in ABB. But I want to make sure we continue to not stress the organization into short-term achievements. I want to make sure we get it right for the long term. And I get confidence from the 500 basis point improvement in our gross margin. This shows that we have fundamental improvements and not just squeeze the lemon to a momentarily good profitability. And by the way, I don't see why we couldn't close in on the 40% gross margin. That is a good quality company in my view. We have talked about how we will be more granular in the way we allocate the strategic mandates. We already have a higher share of our business with a growth mandate compared when we started to implement the ABB Way back in 2020. That said, I don't assume that the end game will be that 100% is tagged to growth. A given mandate is not fixed for life. There may be changes in the market, which go beyond the normal cyclical change. There may be acquisitions that trigger a change to profitability mandate for a certain period. We may also choose to keep some businesses in profitability because they have a structurally lower profitability level, but a strong return on capital. Looking back at recent history, we have not delivered on our acquired growth target of 1% to 2% through the cycle. But I think it's only to be expected when a company goes through a period of such radical change as we recently have. But we are picking up the pace of acquisitions and small to midsized deals should be the base case for what to expect from us. We like buying small to midsized companies in areas where we operate as the equation for long-term risk reward is the best here. Regarding larger assets, it's my job to have a view on it and to make and where it makes strategic sense to add a new division, extend into adjacent areas. I mentioned that we have picked up momentum, and you see that in the split of how we spend our free cash flow. During the last 12 months, we have announced acquisitions that would use up about 23% of the free cash flow generated in that period compared with 6% during 2023. This also shows in a more balanced distribution of dollars spent according to our capital allocation principles, investing more behind inorganic growth. Each business has built good target pipelines, and I feel we are getting there, but still have some way to go before we are fully up to speed on our M&A performance culture. We have a policy which states that the dividend per share should steadily increase. This is very important to us as the main way of returning capital to shareholders. We also like buybacks, but ultimately, the utilization level of buyback programs depends on how much we spend on M&A. Buybacks is the residual valve for use of cash. Our P&L has become less volatile, and we have derisked operation by stepping away from EPC business, which combined with the earnings improvement has supported our cash flow generation. Our free cash flow margin has more than doubled to about 11% from the average of 5% in 2019 to '22. Our cash flow profile should continue to be solid. To align with our shareholders' position, we have made our target for acquired growth, the net of acquisitions and divestments. You may remember that we have divested three full divisions to align the portfolio to the ABB purpose, and this put pressure on the net growth percentage. As you can see on the slide, the number of acquisitions is increasing. Not all will be closed this year, but what we have announced so far would put us within our target range. Some years, there will be more and some less. We have achieved great improvement in our return on capital employed, having moved from 10% to 11% in 2019 and '20 to current level of close to 22% and we target to remain above 18%, even we invest more behind inorganic growth. Looking at the ROCE on operating assets, we are close to 50%. So it clearly makes sense for us to invest in our business. In my view, we fare well on the ROCE KPI, and we want to be a company which deliver a ROCE about 18%. Our additional financial targets also remain as we presented them in November 2023. We aim for an EPS growth of at least single-digit growth through the economic cycle. Our annual free cash flow conversion to net income should be about 100%. Equally important are our sustainability targets. How we work with ESG very much mirrors the ABB Way model. Also for sustainability, the accountability sits in the divisions embedded in our operations. We have framed our ambitions around the three pillars of enabling a low-carbon society, preserving resources and promoting social progress. About this time last year, we leaned forward on the pillar of low-carbon society and upgraded our ambitions with a new net zero science-based targets. They were validated and approved by SBTi earlier this year. For 2030, we now target 80% reduction of Scope 1 and 2 greenhouse gas emissions. And we target a 25% reduction of Scope 3 emissions. Looking at 2050, we target 100% reduction of Scope 1 and 2 and a 90% reduction of Scope 3 emissions. Overall, we are on track to deliver on our 2030 targets, and you can follow our progress via our sustainability disclosure dashboard. The biggest positive impact we as ABB can have on the environment is to sell more products and solutions to our customers. We sell energy efficiency and low-carbon solutions through our technology leadership in electrification and automation. Linked to this, I particularly want to mention our ambition to help customers avoid 600 megatons of emissions through the lifetime of our products sold in '22 to 2030. And this is a net number in the meaning that we take the customer savings and deduct the impact from production. So I hope I have made it clear that I think we can deliver on our growth targets. In due course, I see further upside to profitability by taking the ABB Way even deeper in the divisions. And I believe we can deliver a strong return on capital even more with M&A. We can pay an increased dividend, do M&A and continue with share buybacks. And our sustainability agenda is an integrated part of the ABB Way and can be a competitive business edge for us. Like I said, I wouldn't take this job if I didn't think I can contribute to an even better ABB. And with that, I suggest we open it up for questions.
Ann-Sofie Nordh: And now time for the second session of Q&A. And we'll, I think, in all fairness, allow James to come back and put his question, which he started earlier. James, your line should be open.
James Moore: Thanks, Annsi. Yes, let's come back to that. Having heard everything you said, Morten, that was very comprehensive. Maybe I could change my question from earlier and say, you talk about the fine-tuning and moving from the divisions to the subordinated business lines. Could you say how many business lines you have across the group and whether the percentage of red, yellow, green is basically the same as the divisions or whether that changes the degree to which you have a growth mandate? And maybe I could start there and then something on portfolio, if I could tag that on.
Morten Wierod: Thanks, James. Good question. We have in ABB 18 plus over E-mobility. That's what we kind of - when I say 19 operating divisions. That's how - and you know those sits in the four business areas. And under those divisions, there could be from three and up to five to six business lines. That's - and you have to remember that these divisions can range from like from $1 billion up to $6 billion. So they are like pretty large companies. So that's how we divide it. And you know that in every large - mid and large company, there are - I would say, they're really the good, the bad and the ugly. Even though in ABB, we have more - much more of the good and the beautiful than the ugly. So we are - but this is how we define it also. The - under that growth divisions, they will look at maybe if you have five business lines. And I can take smart building in electrification business just as a practical example. There, you would have three business lines, which is in growth - profitable growth mindset. That means they are expected to grow. Their targets are very much on growth and their incentive plans is also heavy on revenue growth. So that is - but we also have two other business lines, which is not in the same situation. And of course, their targets is more about improving profitability and turning those business lines around. And that means higher targets on profitability improvement, but also more incentives and for their management about profitability improvement, not about growth. And of course, when this would also be reflected when we look at capital allocation and M&A. That means if there is a business line where we are struggling or don't have, we feel we have it not under good enough control, we're not going to allocate capital making a significant investment there. First, you kind of get your house in order and then you're allowed to grow and you will get access also of the cash pool of ABB and further invest of it. So that's kind of very in short, the principle of what we want to drive. What we have now done on the business area and division level, we now want to have on the division and the business line level. Some are doing it already, but I think we can do even more because I know this drives ownership and performance. And it also just have more line of sight so that people can be in charge of their own destiny in the company and build successful careers and improve those businesses.
James Moore: Thanks. If I could squeeze a second one on portfolio. I mean any thoughts on the current portfolio? You mentioned all the businesses we have a good fit. But would you consider selling a larger unit like robotics basically is the question. And you mentioned the large acquisitions are your job more than the business areas. Are there any other legs that you could envisage technologically that you'd like to see the company add on or any range of opportunities that you could see in the future?
Morten Wierod: Thanks. As you say, the smaller and midsized acquisition sits with the divisions. The bigger portfolio questions sits very much with Timo and myself and the Executive Committee when we're looking at what we would do a change. That has been also the history of the past when we did some of the divestments. But for us now, the focus is more about what we add than more than what we sell. So that is the - it's a clear focus on acquisitions more than divestment at the moment because all the business we have in ABB today is fitting with our ABB purpose of electrification and automation and driving sustainability and resource efficiency. So right now, you mentioned robotics. We are facing some tougher situation in the market, but the long-term trend of automation and robotics is definitely there. So therefore, we are confident it's more about improving the performance of the units, both in the robotics and in the discrete automation. That is the main focus now for the team and from all of us to make that business better and then move on.
Ann-Sofie Nordh: Okay. Thank you, James. And then we open up the line for Andre at UBS. Andre, are you there?
Andre Kukhnin: Good morning. Yes, yes I am. Good morning. Thank you very much for taking my questions. I wanted to maybe touch specifically on the medium voltage piece within electrification, where you talked about kind of electrification margin is not yet at full potential, but medium voltage is one piece that I think has enjoyed a substantial improvement in profitability. I think we've gone up something like 10 points, close to 20%. How do you view that level of profitability in terms of kind of through cycle sustainability and given the history of this business and this market?
Morten Wierod: Thanks, Andre. The medium voltage business in ABB has gone through a remarkable journey over the last 3 years or especially the last 2 years, picking up on these megatrends of especially in the field of data center, but also on the utility space. So they have taken and capture some - many of those opportunities, and that's where we see both growth, but also a strong improvement in profitability. And you have to look at this market. In the medium voltage markets here, you will see starting now in Europe, you will see a big shift to what we call SF6-free switchgear. This is where all the utilities have to change because this will be not allowed by European utilities to install. And we see that many others like China is now following trend of Europe, and I believe this will be a global topic. So this is a new investment cycle that will happen in the medium voltage space because the SF6 switchgear need to be replaced over time and all the new ones will come without SF6. And we have the new design in place and being the market leader in that space, I believe that gives us a really good opportunity also for the future in our medium voltage business. So I'm confident there that this is a long-term interesting market way beyond 2030 because some of this whole electrification and more of the investment in the distribution network all across the world has to happen now to be able to decarbonize industries and have that kind of this electrification trend that is happening, that is really benefiting this part of the business. So I'm very confident about that also for the coming years.
Ann-Sofie Nordh: Okay.
Andre Kukhnin: Thank you. And if I - may I ask another question or are we doing one at a time?
Ann-Sofie Nordh: Well, James started it. So we go for two then.
Andre Kukhnin: Thank you. I just wanted to ask about what you finished with in terms of implementing ABB Way further into divisions, into subsegments. So I guess the simple question, what is the potential there? And whether you can help us at all with - before we talked about numbers of people at the central function that got moved into business areas then from business areas kind of business units. Is this the way for us to think about kind of that excess unattached headcount? And if it is, could you give us an idea of the numbers there? Or is it different?
Morten Wierod: It is probably a bit different. This is more about how can we get faster to the targets that we have announced, how do we reach our growth and profitability targets in a very fast way because this is how we are making decision-making closer to customers. I think that's - and driving accountability throughout and even deeper in the organization. For me, that's the benefit of this change, making us even, as I say, closer to customer making decisions and therefore, driving growth in a better way. That is really the main advantage of it. And - but it also puts all the business lines in charge of their own cost. And I use this expression often, it's much easier to spend other people's money. So when it's your money, then you're also holding on to it tighter. So - and I think that is, again, driving performance in the group over the last years, and that's also how we want to continue and drive that even harder in the next - in the coming years.
Timo Ihamuotila: Can I throw something in there as well. So we are not expecting any kind of corporate level big restructuring. Those things we have done when we have decentralized. But we expect all the time operational improvement also on cost management, and we use very systematically this gross profit productivity measure, i.e., we all the time measure how much does each headcount bring gross profit and how does that move forward. And that's proven to be a very good measure because it focuses on gross margin, which for a technology company or technology oriented B2B company is very, very important metric, and it forces you to all the time think how you do stuff better. So optimization on the cost will happen more on that front. And then, of course, from time to time, we can have situations like we now have in Machine Automation, where we really have to do a bigger restructuring, but it's done then in that particular division.
Ann-Sofie Nordh: Okay.
Andre Kukhnin: All right. Thank you very much.
Ann-Sofie Nordh: Thanks, Andre. And then we open up the line for Gael at Deutsche Bank. Your line should be open.
Gael De-Bray: Oh thank you. Good morning everyone. Can I firstly follow up on the data center topic. I'm referring to the Slide 4 of the first slide show. And it seems there are two main white spots in your portfolio for data centers, DCIM and cooling solutions. And today, Schneider just announced a big acquisition in liquid cooling. So is this an area of interest for you, too? Or are you happy just being a component supplier to cooling players and working with partners?
Morten Wierod: Yes, we are confident our way of working with partners in the space of cooling is a good way for us because we often see that this is with strong regional players in that space as well. And we partner with those market leading players, and it complements our offering, and we're able to - there to get the share that we want. Of course, we can always do better, but I think the way of working here with partners has served us well, and that's also where we rather even expand on those partnerships in the time to come. So that's more our way of working.
Gael De-Bray: Okay. Thanks very much. Can I have a second one as well?
Ann-Sofie Nordh: You can indeed.
Morten Wierod: You open the door.
Ann-Sofie Nordh: That's the way we go now.
Gael De-Bray: This time, the question is on the Robotics and Discrete Automation business area. Bjorn used to describe this business as potentially a 15% margin business with a 10% CAGR in the long run. I mean, today, you've talked about a 25% headcount reduction in machine automation and maybe higher competitive pressures in robotics. So do you still share this optimistic view about margins and growth?
Morten Wierod: I think at this point of time, I will not go into the 10% to 15% discussion because the focus for our team now short term is very different. It's about turning the business around and getting up to a performance that we are satisfied with. And I think we were very clear. We're not there at the moment. Therefore, we have homework at ABB as many of our industrial peers as well. And that's really the focus right now to get back long term. I believe that the trend of automation and robotics, that is absolutely there. So that is not - but the focus now for us at ABB is to get it to take care of some of the short-term actions and challenges that we face, and then we'll come back into this as a good business for ABB, and we'll take it from there. But if you have any further comments, Timo or...
Timo Ihamuotila: No, no, nothing to add. Of course, we are looking to make all the businesses in ABB better, and that's, of course, what we are doing here as well. And there is a lot of innovation on the robotics and discrete automation market. So we shouldn't sort of automatically say that the market now is the market in the future. Maybe just throw that in there.
Morten Wierod: Good point.
Ann-Sofie Nordh: Okay. And then we move to Sean at HSBC.
Sean McLoughlin: Good morning and thank you for your time. I wanted to ask, thinking - your thinking on software. I think it's been a debate around ABB and versus your peers over the years. I mean what's your view on software? Do you believe more in-housing of software capabilities is a need? Or are you really looking for hardware adjacencies into new areas? Yeah. That's the first question, if I may add a second later.
Morten Wierod: Yes. Well, let's take the software question first. We do a lot of software at ABB. It's a big portion. You probably heard that. We may have heard earlier that 55% of our R&D engineers are software engineers. So it's a vital part of our offering. And it's - but we don't always differentiate between software, firmware, hardware. In the end, the customer - our customers, they don't ask for to buy software from us. They have asked solutions to their problems. And to - if that goes into a machinery or into their operations, we solve it with hardware or with software. But normally, it's the combination of the two. That's when the magic happens. So this is, for me, the main part, how do we solve customer problems with very solid, reliable hardware that never fails, but on top of it, you need very good software or firmware. That is kind of the brain of a solution at ABB. So it's the combination of the two that really matters. So if you look at in our M&A deals, both of the past, but I think also what you will see in the future, it will be more of these small, maybe midsized deals that is adding new capabilities to existing strong ABB offering. That is when we are able to make a real value creation deal out of it. So you will not see us making big moves in the software space because I don't think it really fits with us and our strategy or our philosophy. And that shows that the path that we have chosen, and I think it has served us well. And that's also the feedback I get when I talk with customers. And for me, that's kind of the decisive factor for these decisions.
Sean McLoughlin: Thank you. Very clear. And the second question for you, Morten. Just thinking about your footprint, I mean, your first view of kind of the group's footprint, are you rightsized now for your growth targets? I mean, M&A aside, I understand, obviously, the need to reduce on the M&A side. But I mean, are we in need to increase CapEx significantly in other areas over the next 1 to 2 years? Or do you see inorganic really as being the key growth driver there?
Morten Wierod: We have already communicated quite large investment, especially in North America and but also in India. Those are two areas where you will see allocation of CapEx more to serve in Mexico and the U.S. to support especially the U.S. market and the big investments ongoing there so that we can support that strong demand in data center is one, but also in the utility space and the whole industrial buildup based on the U.S. for U.S. initiative or how the industry is developing. But also for India, which has been a growth market for us at ABB, moving up the ranks. I know that today, number 5, but I think in a few years, India will be our third largest market. So of course, there, we're also expanding capacity. So we're able to deliver on that very strong growth momentum, more than double digit many years in a row now. So that becomes also a very key market. So those are two areas of organic or CapEx allocation that we will do in addition, of course, to keeping the wheels turning in all our units around the world, which is you need a constant investment in automation to drive productivity. That is for me. This one big changes in transformation is a bit of a more of a sign for me of a failure. You should do constant investment into automation, cost out every year. That's how you stay competitive. That's how you can also drive performance in all these business lines and division over time.
Ann-Sofie Nordh: Okay. And I see time is flying here. So we'll have a final question from and I assume two from Jonathan Mounsey at BNP Paribas. Jonathan, are you there?
Jonathan Mounsey: Thank you, Annsi, and thanks for squeezing me in at the end there. First of all, maybe obviously, a lot has been asked, but maybe on E-mobility, struggling. I feel like struggling now more than we'd expected this time last year when the turnaround began. I mean, what does the recovery look like for this business? Is it just product launches are going to get you back to the right level of profitability? I see E-mobility peers like Allison [ph] having their own issues of late. And I remember when you were looking to IPO the business, you talked about or at least the management at the time of that business talked about participating in an industry consolidation to maintain a strong position as the industry grew. Now at this point where the industry is under pressure, might it not be the case that you need to also, if you're going to stay in this industry, participate in a consolidation so that the whole industry can recover profitability. And so may you have to look at deals? I know it doesn't really fit with your strategy of not buying stuff until the profitability is at the right level, but may that be the only way that you're going to get the profitability at the right level by getting bigger?
Morten Wierod: Yeah. I'd say the focus on operational level for the E-mobility business is to renew the product portfolio, get the, let's say, the historical products out of the portfolio and then replacing it with a new design, which is really fit for the future. And I think there, the team is making good progress. When it comes to our plans of IPO, I think that will happen and that final decision will be made when we feel that the market is ready and when the company is ready. And when that happens, we'll make that final decision on the timing of when it will happen. And that goes also with any other discussion, as you mentioned here of the market. I think that is - at that point of time, we'll come back to you. But Timo, if you have any further...
Timo Ihamuotila: Yeah, maybe comments to add here that, of course, many of these companies, especially in the DC space, have quite a long road maps, and they have also separate software stacks. And the longer the road map and the software stack in the product, the more difficult it is to put these kind of assets together. So those kind of considerations need to be taken into account. Exactly the same thing as you would say that in the - yeah, why don't you consolidate the DCS, but the DCS will sit there for like 20 years, and then you just have to support like two different versions of a similar product. So we have to be very careful when we think about this, where, of course, fixing a business can use many different tools. But I'm just saying that I fully agree with Morten that first here, really understand that your own product portfolio is like the most competitive on the market and then you look at the other stuff, if you look at it.
Jonathan Mounsey: Thank you. And maybe just a follow-up. On the potential acquired growth, 1% to 2% a year, it feels to me at a reasonable valuation, kind of maybe where ABB itself trades. That's kind of all the free cash flow will give you after the dividend. You also mentioned that there was potential at least some years to do more than that, maybe other years to do less. That kind of implies maybe the willingness to re-leverage a bit. What are your thoughts in terms of the balance sheet? If a series of just good deals happen to come along and maybe the M&A contribution to revenue ended up being 4% plus in a given year, what level of indebtedness would you be willing to accept to buy the right things?
Timo Ihamuotila: Yeah. I mean we are definitely with this sort of cash flow generation rating and all that, we are clearly, you could say, underleveraged vis-à-vis maybe what one could call an optimal. So we can move quite a bit here. I mean, at the moment, we are, I think, about 1.4 net debt to EBITDA. And of course, we can go way up from that wherever it could be then between 1 or 2 or something like that very, very, very comfortably. So in that sense, there is quite a bit of capacity if there are the right deals available. So we will not be stopped by capacity here. It really is that we, of course, find the right targets, as Morten has been saying as well, which really give the right risk return for the company overall.
Ann-Sofie Nordh: Okay.
Jonathan Mounsey: Thank you very much.
Ann-Sofie Nordh: Thank you. And with that, we close this session. Thank you very much for joining us today. And we'll see some of you before and some of you at the next quarter results.